Operator: Good morning, and welcome to the Sirius XM Radio's First Quarter 2011 Earnings Conference Call. Today's conference is being recorded. [Operator Instructions] At this time, I would like to turn the call over to Hooper Stevens, Senior Director, Investor Relations and Finance. Mr. Stevens, please go ahead.
Hooper Stevens: Thank you, Jim, and good morning, everyone. Welcome to Sirius XM Radio's Earnings Conference Call. Today, Mel Karmazin, our Chief Executive Officer, will be joined by David Frear, our Executive Vice President and Chief Financial Officer. At the conclusion of our prepared remarks, management will be glad to take your questions. Jim Meyer, President, Operations and Sales; and Scott Greenstein, President, Chief Content Officer, will also be available for the Q&A portion of the call. First, I would like to remind everyone that certain statements made during the call might be forward-looking statements as the term is defined in the Private Securities Litigation Reform Act of 1995. These and all forward-looking statements are based on management's current beliefs and expectations and necessarily depend upon assumptions, data and methods that may be incorrect or imprecise. Such forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. For more information about those risks and uncertainties, please view Sirius XM's SEC filings. We advise listeners not to rely unduly on forward-looking statements and disclaim any intent or obligation to update them. As we begin, I would like to advise our listeners that today's results will include discussions about both actual results and adjusted results. All discussions of adjusted operating results exclude the effects of stock-based compensation and certain purchase price accounting adjustments. I will now hand the call over to Mel Karmazin.
Mel Karmazin: Thanks, Hooper. Thank you, all, for joining us today. This morning, I want to spend a few minutes discussing our operations, updating you on our guidance for 2011, reviewing the competitive landscape and discussing our balance sheet and how we think about the cash we are generating. We are very pleased to report another strong quarter of subscriber revenue and adjusted EBITDA growth together with improving margins and increasing cash flow. We added 118% more subscribers in Q1 2011 than in Q1 2010. Net subscriber additions of more than 373,000 represented the strongest first quarter subscriber growth in the 3 years since Q1 2008. Gross subscriber additions during the quarter were up 19% to 2,052,000 on the back of higher OEM sales and improved reactivations of radios. We ended the quarter with over 20.5 million paying subscribers, a new record, to maintain our position as one of the largest subscription entertainment businesses in the world. Revenue grew by 9% to $724 million, driven primarily by higher subscriber count during the quarter. Adjusted cash operating expenses grew by 6.5%. The increase in cash operating expenses are all growth related, higher SAC, which is a function of increased car sales, and higher revenue share and royalties. All other cash operating expenses combined were flat year-over-year. Our tight expense controls meant we were able to grow adjusted EBITDA by 15% to a record $181 million, more adjusted EBITDA than the company has ever recorded in a single quarter. This adjusted EBITDA record also resulted in the highest quarterly margin in our history at 24.9%, up from 22.1% for all of last year. We expect to see improving margins in the years to come with an adjusted EBITDA margin over 40% at maturity. We plan to get there by subscriber and revenue growth, coupled with our high incremental contribution margins and tight multiyear expense controls. Strong operating performance should then lead to what I believe is the most important yardstick by which any company's value can be judged, and that's free cash flow. And here, I'm pleased to report more good news, both in our performance and in our outlook for the future. First quarter free cash flow improved by a strong $110 million when compared to the first quarter of last year. This was primarily driven by higher adjusted EBITDA and lower capital expenditures, both of which we expect to continue. Our outlook for free cash flow for the full year has improved, and we now expect it to approach $350 million compared to our prior expectation. This will be a 66% increase year-over-year in free cash flow. Our self-pay monthly churn rate was 2%, which was flat year-over-year. Our conversion rate of 44.7% was down about 50 basis points year-over-year, driven by the changing mix of our radio installations among auto makers. We continue to work hard on improving these retention numbers further with a number of new initiatives that are in place right now. We expect that for the full year, churn and conversion will be approximately flat when compared with 2010. Content remains the name of the game for us. At the end of the day, access to the best radio on radio is what continues to grow our subscriber base. This year, we made a number of exciting content announcements, with some of the biggest names in music and entertainment: Tim McGraw, Metallica and Simon & Garfunkel. As we have done in the past around pop-culture events, we created a limited run about Charlie Sheen's antics, Tiger Blood Radio, which got us a huge amount of attention. We continue to work hard to have our SiriusXM 2.0 product ready to launch in the retail channel by the end of the year. We are committed to bringing more content and functionality to our subscribers, which will ensure satellite radio remains an outstanding value proposition in an evolving, competitive media landscape. With 2.0, we'll be expanding our audio content lineup with new channels, including a suite of new Spanish-language channels. With 50 million Hispanics in the United States, we see significant upside potential with our expansion here. We'll also be offering an electronic program guide to better inform listeners about great content on all of our channels, listeners will be able to buy music from their radios, and we'll be including more DVR-like functionality such as pause, rewind and replay, as well as record and playback capabilities. We want to deliver the best audio entertainment in the world to our paying subscribers, however and wherever they want it. Increasingly, this includes smart phones, tablets and other IP-connected devices. Listeners since the beginning of the year are already enjoying Howard Stern's content on the smart phone apps, and with the next NFL season, we will have that play-by-play content available on a mobile basis as well. We recently launched an iPad-optimized app that greatly improves the interface and listening experience for our users. It includes a multichannel view of what's on as well as album art and artist background information. We will continue to improve these products to show what is possible when world-class technology is matched with our SiriusXM musicologists, our deep library and our extraordinary lineup of content. The IP-connected mobile world, no doubt, has numerous strong competitors, but as I just outlined for us, it has also created huge new opportunities for us to connect with our subscribers. We are unique in that our subscribers have demonstrated a willingness to pay for our service at a price point that no other audio entertainment company in the world can match. This allows us to create and deliver premium content to them across all platforms in a way we believe is truly unbeatable. Since the merger, we have delivered solid execution, but we all know that with such performance comes great expectations for the future. We continue to be confident in reaching our guidance targets for the year: Full year net subscriber growth of 1.4 million subs; revenue of $3 billion; adjusted EBITDA of $715 million; and our recently raised free cash flow target of $350 million. Based on all the information we have today, many of you would expect us to increase our 2011 subscriber guidance significantly. The only reason we are not is the OEM supply chain uncertainty related to the tragedy in Japan. Year-over-year, our business has not notably been adversely affected by unemployment, high gas prices, increasing competition or the economy, but we are watching the Japan tragedy closely to see if it results in any supply issues. We monitor this issue daily. We are confident that there will not be any supply issues specifically related to our satellite radios. However, it is not entirely clear what challenges our OEM partners may -- they may experience. If they encounter no serious issues as an industry, we may deliver more subscribers in 2011 than we are currently forecasting. If they encounter difficulties and auto sales are lower than we anticipate, we will deliver more adjusted EBITDA than we anticipate to date as our SAC will likely be lower. If there is a supply impact in 2011, we anticipate that demand will be even stronger for us in 2012 than it is currently anticipated. Today, it is too early to tell. We believe we are being prudent, and we'll keep you informed as more information becomes available. You are also aware we have been driving our top line growth while being restricted by our commitment to the FCC that we would not raise our base price in the first 3 years following our merger. That commitment will expire in the third quarter of this year. SIRIUS has never increased our base price of $12.95 since we started service nearly 10 years ago. We have improved and significantly expanded our content over the years, and it would be appropriate for us to increase our pricing to enable us to maintain our position as the premier audio content provider in the world. We offer a number of packages that allow us to meet the needs of different consumers, and while we have made no final decision, and assuming that the FCC price restriction expires, it is likely that we will be raising prices in the future and that our ARPU will increase as a result. I'd now like to take a couple of minutes to talk about the competitive environment as we currently see it. Terrestrial radio continues to capture the lion's share of listening today. Approximately 79% of all listening in the United States is through the 12,000 terrestrial radio stations. Terrestrial radio is also today receiving approximately 80% of the revenue going to the U.S. radio industry, with Clear Channel being the dominant player. The hundreds -- or thousands of companies that are streaming radio via the Internet accounts for approximately 12% of the listening, with Pandora being the most significant of that group. Streaming is estimated to get approximately 5% of the radio revenue, 12% of the audience, 5% of the revenue, which is not uncommon for Internet business models. SiriusXM currently has 9% of all listening and 15% of the total U.S. radio revenue. Thousands of stations dividing up 79%, hundreds dividing up 12% and one company with 9%. Further, we are the only company in this space operating on a full subscription basis. We like our position in this market. I also believe very strongly that business model matters, and here, we really like our position. Clear Channel radio says in its 10-K that they reach 213 million listeners each week, and their revenue for 2010 was $2.9 billion. This means that Clear Channel generates $13.61 per year from each listener. Pandora, which is the leading company in the very crowded Internet streaming sector, in its S-1, reports $138 million in 2010 revenue and 80 million registered users and 30 million regular users. They are able to generate either $1.68 per year from their registered users or $4.59 per year from their active listeners. SiriusXM, last year, reported revenue of just over $2.8 billion and had approximately 20.2 million subscribers. We generated $141 in the year for each subscriber. $141 a year for us, $13.61 for the leader in terrestrial radio and $4.59 per year for the leading streaming radio company. I think this helps to demonstrate why we like our subscription business model as compared to anything else that exists today or anything we are aware of for the future. We will continue to invest in content and work closely with our OEMs to ensure that our position will even be better in the years to come. As I mentioned earlier, we are raising our free cash flow guidance for the year and see it approaching $350 million, up 66% from $210 million in 2010. This growing free cash flow performance will lead to increased financial flexibility in the future and more options for us to return cash to investors. To give you an idea of the magnitude, let's run through some simple back of the envelope math. We finished 200 -- 2010 with $587 million of cash and cash equivalents on hand. After the final payoff of our 3 1/4% convertible notes due in 2011 and early payoff of the 11 1/4% senior secured notes due in 2013, assuming no other early balance sheet transaction, we should finish the year with approximately $700 million of cash on hand based on our free cash flow guidance. Next year, with no debt maturities to pay off and approximately $100 million less in capital expenditures than this year, our cash on hand will grow at an even faster rate. With no action taken to improve our interest rates or return cash to shareholders, our cash on hand should easily pass $1 billion by the end of next year. Our net leverage ratio has improved considerably and you should expect that this will continue. At the end of the first quarter, our net debt to trailing 12 months adjusted EBITDA was 4.1x, down from 6.6x at the same time last year. We think approximately 3x leverage of debt to EBITDA is an appropriate long-term number for the company. Since we will be close to that 3x target by the end of this year, the management and board will be considering all of the options for our cash. While we will always continue to invest in our business, the options are further internal investments or acquisitions and share buybacks or dividends. From my perspective, there is a clear ability to return capital to shareholders, although the timing and quantity of such return is not yet determined. I, for one, am looking forward to rewarding our loyal shareholders this way. Once again, our priorities for 2011 are to end the year reporting record revenue, record subscribers, record adjusted EBITDA and most importantly, record free cash flow. The competition is not standing still and neither are we. We have the greatest group of employees in the industry. Each and every one of them is committed to serving the needs of our subscribers through continually improving our programming and creating and deploying new technology to deliver that content and improve customer service. We are focused on giving our subscribers a compelling and premium service that is also a good value. With the exception of a potential short-term supply issue related to the tragedy in Japan, we remain extremely excited about our prospects for the remainder of 2011 and beyond. I will now hand the call over to David to discuss additional details about our first quarter results. And David, it's all yours.
David Frear: Thanks, Mel. Good morning, everyone. Total subscriptions increased by 1.6 million over the first quarter of 2010. Self-pay subscribers were up by one million over the prior year at 16.8 million while trial subscriptions were up about $600,000. If you include unpaid trials, we finished the quarter with more than 4.8 million total subscriptions and trial, an increase of approximately one million from the prior year, reflecting the strong recovery displayed by the auto industry over the course of the last year. That's one million more self-pay subs and one million more subscriptions and trial than we had one year ago. Revenue increased by $60 million or 9% over the prior year, driven largely by the increase in our subscriber base with a little help from an improvement in ARPU resulting from increased sales of premium services. Ad revenues were up by approximately 14% over the prior year as we continue to outperform the general radio advertising market. Revenues were also up as more subscribers were billed the Music Recovery fee in the current year quarter, offset in part by a reduction of the fee, which was implemented in December of 2010. On the costs side, the company continued to deliver outstanding performance and delivering cost-effective growth. Total cash operating expenses increased by $33 million or 6.5%. The costs directly related to our subscriber growth, revenue share royalties, customer service and billing, and subscriber acquisition costs grew by $43 million in the quarter. All other costs, programming, sales and marketing, satellite and transmission and G&A, declined by $10 million. During the quarter, we invested in the quality of our customer care function, improving customer satisfaction and first call resolution. We believe great customer service like great content will keep our customers with us. Customer service and billing costs were also affected by an increase in bad debt expense despite improving non-paid churn rates from the prior year as a result of an alignment of collection policies following the combination of the company's subscriber management platforms in the fourth quarter of 2010. Contribution margin was over 71% for the quarter, down less than 1% from the prior year but still above the 70% we believe you will see in the long-term. Programming and content costs continued to show consistent improvement. At $83 million, programming and content costs are 23% below the $108 million of the combined companies in Q1 2008, the comparable quarter prior to the merger. At 11.4% of revenues in the first quarter, since the merger, programming costs have improved by more than 7 percentage points of revenue despite continuing to expand and improve our programming lineup. On a pre-SAC basis, adjusted EBITDA improved over 42% of revenue as $0.76 of every dollar of increased sales fell through to pre-SAC EBITDA. Strong growth, however, comes at a price. While SAC per gross add improved by $2 from $59 to $57 in the quarter, the 19% growth in gross additions drove total subscriber acquisition cost up by $20 million. Overall, adjusted EBITDA improved by $24 million to a record $181 million for the quarter. Our balance sheet continues to show rapid improvement as our free cash flow improved by $110 million over the prior year quarter. We finished the quarter with $434 million in cash after retiring $131 million of debt in the quarter. Since March 31, we retired an additional $74 million of debt through a cash tender offer. We now have less than $30 million of maturities prior to mid-2013, giving us considerable flexibility in deploying the substantial future cash flows of the company. As a final note, the CRTC has approved the merger of the 2 Canadian satellite radio companies. There are elections in Canada today. Following the elections, the CBC, one of our partners in SIRIUS Canada, will seek the requisite authority from the Canadian government to allow the CBC to participate in the merger. We expect that authority will be forthcoming in the next month and that the transaction will close in the second quarter. As part of the merger, we expect Canadian Satellite Radio will repay the $35 million loan that is owing to us. We expect SIRIUS Canada to make a distribution to its shareholders and that we will own 37% of the equity of the post-merger Canadian Satellite Radio. With that, operator, let's open it up for questions.
Operator: [Operator Instructions] Your first question comes from Ben Swinburne, Morgan Stanley.
Benjamin Swinburne - Morgan Stanley: It's Ben Swinburne. A couple of questions, Mel. Thanks for the commentary on the OEM outlook. I just wanted to just come back to you and ask if you'd seen anything at this point in the second quarter that would lead you to believe that there is meaningful supply chain issues at the OEM level, just to get a little more clarity on what you've seen so far, if this is just purely sort of a precautionary.
Mel Karmazin: Okay, Ben, so let me do it, and then I'm going to turn it over to Jim to add some more color to it. We certainly have numbers through April, and we are not seeing anything through April that is affecting us. We know that the SAR numbers will be reported by the various car companies today, and we anxiously await it, but we really don't anticipate anything. And Jim, if you could talk a little bit about it.
James Meyer: Yes, I think the -- basically we see almost everybody's schedules. We see everybody's schedules, and we feel pretty good certainly about May. Next week, we'll get better data on the last 2 weeks of June, so we will be able to answer the question better in a week and a half. But with the exception of, obviously, the supply -- and it's very well documented of cars out of Japan is spotty. And certainly, Toyota, as reported, there'll be shortages for their guys. When they'll hit, we're not exactly sure. And I think that goes back to Mel's comments. So we're just not exactly sure what's going to happen here.
Benjamin Swinburne - Morgan Stanley: Yes. And if I could just ask one follow-up, Mel. On the 2.0 product that you talked about at length, I understand they'll be available at retail later this year. Can you just talk a little bit about the technology behind that and if that makes its way into the OEM channel over time or if this is purely an aftermarket IP product?
Mel Karmazin: Okay, so I think once again the technology is something that I'm not sure we want to get into now, but again, anything that I'm leaving out, Jim can add on. We have introduced 2.0 last -- at the beginning of this year at the CES show to all of our car company partners. We have had follow-up meetings, including meetings in Asia and Europe with our car partners. They are all excited about being able to give the people who are buying cars more channels. They're excited about improved functionality. An awful lot of what we are introducing in 2.0 will be part of the OEM offering. I might point out that a number of the car companies, Hispanic, Latino dealer groups, have been all over us now for well over a year, wanting us to add more Hispanic channels to the lineup. And again, limited bandwidth has been an issue for us, but with 2.0 and our ability to have 25% more bandwidth, we're now able to accommodate those car dealers because they believe that we're leaving subscribers on the table by not offering more channels for this rapidly growing segment. But the specific technology that we're employing, I'm not sure we have discussed publicly. Jim, anything else on it?
James Meyer: No, I'd just reiterate what Mel said that clearly, and be clear on your question, SiriusXM 2.0 and the technology associated with it is a full business play, not an aftermarket play. You will see that functionality first, though, in the aftermarket where we're not constrained by the automakers' times to market, and we can get that product out there faster and learn from it.
Operator: Moving on, we'll take our next question from Leah Pilla from Knight Capital.
Leah Pilla - UBS: Just a couple quick questions. I noticed that the paid promotional subscribers increased sequentially in the quarter, so I was just wondering if there were any significant promotions in the quarter? And then just secondly, what was the breakdown between net subscriber additions, OEM versus retail?
David Frear: So let's see. On the paid promotional subscribers, they're not really affected by promotions in terms of price promotions in the marketplace. That's predominantly driven by the volume of automotive sales. So the pick-up you'd see there is really a result of what is really rapidly improving automotive sales. I think that the SAR in the fourth quarter was 12.3 million or 12.4 million, and it was 13 million in the first quarter. So that's what would drive your paid promotional trial increase. Retail subscribers finished the quarter at just a little over 6.7 million, so the net additions have been negative by a couple hundred thousand a quarter for quite some time, and that continued in the most recent quarter.
Operator: We'll take our next question from Barton Crockett from Lazard Capital Markets.
Barton Crockett - Lazard Capital Markets LLC: I wanted to ask about the ARPU outlook. Your statement that you believe that if you -- the government price restraints come off, that you will be raising rates. Can you give us a sense of the magnitude that's in your mind? Is it -- do you think it's right to think about this as kind of an inflationary low single-digit type of thing or is there an opportunity to do more because consumers love the service so much, and you've gone so long without really raising the basic kind of price? And then in conjunction with that, I was wondering you could talk little about -- well, I'll leave it there. So yes, please answer that question.
Mel Karmazin: Okay, so we obviously have not made a final determination on exactly what or when our price increase will kick in, but you should assume that it will not be something that looks like inflation, but it would be something that would be compensating the company for its investment in content. Mentioned that we have not raised our prices. We added a lot of premium content to our service. It was very expensive. We haven't adjusted it. We were financing it by keeping the price the same. So though we certainly are sensitive to the economic conditions around, but you shouldn't think about inflation. You should think about a number more than that.
Barton Crockett - Lazard Capital Markets LLC: Okay. And then if I could follow up, in this quarter, the ARPU number in aggregate rose, I think, like $0.04 year-over-year. A little bit of that was advertising, suggesting kind of a slowdown in the amount the consumer is paying year-over-year. And I think part of that was an increase in discounting as a way to retain subscribers mitigated by more people buying the premium kind of packages. Is this quarter just kind of noise, or does it suggest any difficulty in kind of getting the consumer to pay more at this juncture versus last year when people paid a lot more?
Mel Karmazin: Yes, just -- let me just begin by saying that remember, we rolled back the MRF price, and we also have been restricted in our basic price. So there is win back. We continue to sell “Best of.” We continue to sell our streaming, but we have been limited in the opportunity for us to show a more significant increase in our ARPU by the restriction at the FCC. So again, you should assume that as we anticipate that gets rolled off in the third quarter that, that experience that we're currently seeing is something that will change in the future. David?
David Frear: So Barton, we're now 2 years out from the changes in pricing for our multi-subscription and Internet services, and almost 2 years out from the introduction of the MRF. And so you have much different rate behavior in the first -- change in rate behavior in the first quarter of this year versus what you have in the first quarter of last year. And then as Mel mentioned in -- we did take down the Music Recovery fee from roughly $1.98 to $1.40 in December, so we actually have a little bit of a rate rollback going on in the current quarter. Now when you put on top of that rapidly increasing automotive volume that the -- there are a whole variety of price points for the paid promotional trials that the -- we get from the OEMs that tend to be below the retail price of the service, and so you're also going to have a little bit of a rate effect there.
Operator: Moving on, we'll take our next question from Jim Goss, Barrington Research.
James Goss - Barrington Research Associates, Inc.: Actually, one follow-up first. You just mentioned the rollback of the royalty from $1.98 to $1.40. Is there a further move that would be made on that, or does that seem to -- likely to be part of a -- the program going forward?
David Frear: Well, if the price of the service changes, it's likely that the Music Recovery fee will change as well.
James Goss - Barrington Research Associates, Inc.: Okay. I wanted to ask about priorities in terms of use of cash. You listed before that it would normally be considered as internal investment acquisition, buybacks, dividends. Do one or 2 sort of creep more to the top of that list, Mel?
Mel Karmazin: Yes, I think right now, if we were at a board meeting today and we had this end of the year cash on hand and prospects looked as exciting as they do today, I would be telling the board that we don't see anything out there that we believe would be accretive or strategic that we need to acquire, that we should continue to invest in the business as we have been investing in it. I mean, obviously, we've been investing with 2.0, that's been included in the results that we report. And that I would be inclined to think in terms of a stock buyback, but again, it's premature, and it's a decision that will be made by the board. But we are not seeing anything in our space that we feel represents a attractive acquisition opportunity for our investors and, therefore, would rather return capital to them than to just spend money on something that we're not excited about.
James Goss - Barrington Research Associates, Inc.: Okay. Is it fair to think that aside from perhaps the Spanish-language programming and some of the one-off programming moves you've thought of with Simon & Garfunkel and Tim McGraw, would -- you're pretty well set in terms of overall programming, don't you think?
Mel Karmazin: Yes. No, I think that we continue to upgrade it. Scott and his team have continually come up with ideas for us to spend it. Nothing is out there with a very big price tag that is likely to change. Though obviously, we reserve our right if in fact something out there that's going to add a whole lot of subscribers to us was there, that we would do it. But you should also believe that we're investing significantly in technology and engineering as well. So it's not just content, but again, that's along the lines that we've been demonstrating.
James Goss - Barrington Research Associates, Inc.: Okay. And lastly, there is a comment with the conversion rate being down 50 basis points due to the change in mix. Could you elaborate a little on that?
David Frear: It's really, Jim, wholly related to sales mix among automotive partners. We have seen very stable conversion rates, sort of, partner to partner. But as the -- just kind of market share changes in automotive, there's a little bit of a change up in mix. The -- but it is solely sales mix related, and we said in the year-end call that we expected both churn and conversion to be stable, that we aren't anticipating changes in them. But I think that any changes you do see will really be driven not so much as -- by changes in customer behavior, but at this point, simply changes in the allocation of sales among automotive companies.
Operator: Moving on, we'll take our next and final question from Murray Arenson from BGB Securities.
Murray Arenson - BGB Securities, Inc.: Actually, I had a couple of quick questions. One is I wondered if you'd spend a little time fleshing out a little bit your point of view on how you're handling right now rebates and retention programs and those sorts of items, particularly if there's anything incremental going on as you're moving your way through the year?
James Meyer: So I think we obviously have matured in that thinking over the last couple of years. And we're -- I feel like that we're still fine tuning how we try to win back and save customers. And it's something we work on every day. It's something we talk about continually. And I think what we've found is kind of a spot where we're comfortable that we can drive the kind of demand we would like to win back without putting at risk our core price or our core business strategy. And it's a trade-off that we look at. David and I look at it every month and kind of balance it and look through it, but there's nothing unusual going on there that's any different than what we've been doing now for probably at least 4 or 5 quarters in a row. What is a little different is I think we're getting smarter and better on our cadence. And by that, I mean we're getting smarter and better about where our offers go, the timeliness of those offers and, quite candidly, the effectiveness of the different means that we use for those offers, whether they might be mail or telephone to improve the efficiency of them. But otherwise, I think it's more of the same.
Mel Karmazin: Yes, I think one of the things that we found to be really effective in us getting subscribers back is when we are offering our free-to-air service, where we will turn on the deactivated radios and remind everybody how good our programming is and then follow up with all of them with an offer. And we do it a couple of times a year, usually, and we really have been getting great results. And the other way that we have these radios in the car, and even in the ones where they've now been turned off, these cars are now finding their way into the used car area, and we are being very aggressive in marketing to the new owners of those vehicles as an opportunity to get those radios to be reactivated.
Murray Arenson - BGB Securities, Inc.: And then lastly, if I could just follow up briefly, I appreciate your comments and your candor where pricing is concerned, I'm wondering how you're looking at that with respect to timing. I mean, given the economy, is that something you'll be looking at in terms of timing of implementation or is there something where you've kind of got a schedule in mind?
Mel Karmazin: Yes, I think the only timing that we have announced and I think we're going to stick with that is that the FCC's restriction or our voluntary offer to the FCC expires the end of July. And that's the only date that we're prepared to comment on right now.
David Frear: Thank you, Murray, and thank you, all, for your participation today. This concludes the call.